Jostein Lovas: Good afternoon and welcome to DNO’s Fourth Quarter 2024 Earnings Call. My name is Jostein Lovas and I am the Communication Manager here at DNO. We will start with a short results presentation, which will be given to you by DNO’s Managing Director, Chris Spencer, and CFO, Haakon Sandborg. After the presentation, we will open up for questions in a Q&A session. Please note that the Q&A session is for investors and analysts. Media requests will be dealt with separately. During the presentation, the microphones of participants will be muted. [Operator Instructions] With that, let’s start the presentation. I will hand over to Chris.
Chris Spencer: Thank you, Jostein and good afternoon everyone a cold but sunny Oslo in Norway, and welcome to DNO's 2024 interim [ph] results presentation. I'll start for a moment on the picture slide at the beginning of the pack, which for those who've read our press release or the slides will understand that this is the team behind the tremendous performance that's been achieved in the Tawke PSC production or some of the team members, I should say. There's a much bigger team than this, led by the gentleman in the foreground in the blue shirt. That is our asset manager for the Tawke PSC. And you see them busy working on finding the next few barrels to chase and keep up our production and sales. Thank you, Jostein. Let's move on. So, the Q4 and indeed 2024, as the slide says, is characterized by robust production in Kurdistan, cash flow generating production and expansion of our North Sea business. We ended the year with total revenues of just shy of $700 million. And importantly, cash from operations jumped from 2023 level by about 50% with the figures shown on the chart. Unfortunately, we had to take some impairments in the balance sheet, and that impacts on the operating and net profit. But of course, those are non-cash items. The reflected in the revenues is the fact that the net production jumped year-on-year by a significant amount because, of course, in 2023, we were at reduced levels in Kurdistan following the closure of ITP. But in 2024, as we've been reporting through the year, we've had very, very solid operations. We've had very strong production, maintaining around the 80,000 barrel a day of field capacity throughout the year on a gross basis. And we've been selling into the local market at our Fish Khabur terminal for the entire year. North Sea production was lowish through the middle of the year with the typical maintenance shutdowns of the hubs that we feed into. So, the fourth quarter really saw a significant increase in production in that part of the business, too, not only as those maintenance shutdowns concluded, but also with the integration of the acquisitions we've done and the restart of the Trym field, which I'll come back to. So all of that plays into the fact that we are still happy to have a robust balance sheet. We're still in a positive net cash position with a lot of money available to us to grow the business and to support what we see as a sustainable level of dividend, and that we are very pleased we've been able to maintain for another quarter. Next slide, please. So, turning to the North Sea first. And as I just touched on, near-term production has been very strong. We got up to 19,000 in Q4, and we're currently running at above that level. This reflects the contribution of the two acquisitions that we made during last year, which we've announced previously. That's obviously the Arran field in the U.K. and the Norne area assets in Norway. And importantly, in the last month of the year, finally, our Trym field restarted. That is a gas field right down on the southern border of Norway and feeds into that Danish infrastructure, which has been through a massive redevelopment, Total being the operator on the other side of the border there. And they've had a few issues along the way, which has led to a deferral of Trym restart. But now that Danish complex, it seems to be up and running, a few teething problems still, but that means that our Trym field is back in production, and we're very pleased to welcome it back. Looking forward, we also see near-term production growth underpinned by the four ongoing development projects that we have outlined in this bullet point. And there's more to come as we start to mature the discoveries that we made in recent years with this Othello discovery looking likely to be the first cab of the rank, if I can use that metaphor. And we're working hard on all of the other discoveries we've made. And we have infill drilling continuing on our -- the rest on the producing assets that we have. Two more discoveries made in Q4, Ringand in the [Indiscernible] area and -- which is a nice discovery and Othello being the more significant one, and we'll touch on that in a moment on the following slide. We also continue our -- the search in the Norwegian APA licensing round, which is a great -- very important part of the business here in Norway, enabling us to pick up acreage without excessive commitments upfront, study them together with partners and mature them to drill decisions. And that's been underpinning our exploration success in recent years. If we move on to the Othello discovery. We're very pleased with this one together with our partner -- one of our partners here, Aker BP. We've been working in this area and indeed other areas together very well. And so we're very happy to make this discovery. The discovery in itself was the second largest announced last year. I guess what's exciting us is that we see some really good follow-up potential, both within that license, but also into the licenses that we have already secured in the area in anticipation of success. And again, this is one of the great things with the APA license round that you can build such a position without huge outlay that would be characterized as building an acreage position in other jurisdictions around the world. So, we really -- we are working hard and working well together with Aker BP here. We are the operator, and we're pushing to try to get a second well as soon as possible. The expected target is a prospect called Page, a little bit to the South of Othello. So, I hope to come back with more news on that as the year progresses. Next slide. And so we don't have a firm well on Othello or Page yet. So, it's not in our drill sequence. We just show the exploration/appraisal wells that we have that are firm wells for the year. And it's really a front-loaded program, as you can see. So, we're actually drilling all three of Mistral South, Kjøttkake, and Horatio at the moment. And so very excited to see what happens over the next weeks or month or two. The other aspect that those who follow the company closely will notice is that with the discoveries we made in the past, an increasing share of our exploration spend this year is now relates to the studies required to mature other discoveries. And those are still classified as exploration expense in the account. So, that would explain for those who follow us closely how that expense is made up. I touched on the -- our desire to mature a well into the Page prospect already. The other area we're hoping to move forward is the carbon discovery that we made in the Northern North Sea there, that's a very exciting discovery, but with a very large volume range potential and it definitely needs appraisal. Furthermore, there's an exciting -- I think to use the word exciting, a lot when it comes to our portfolio, but that's my view. There's a very material prospect underneath the carbon discovery in the Statfjord Formation, which we'd love to test, and we believe can be tested with the same well that would appraise the carbon structure, so that is a well that we are lobbying for in the license and hope to make progress on that this year. Thank you. Turning to the other important part of our business, Kurdistan, and really a great story of resilience and nimbleness to adapt to the conditions that we're faced with there. We've been faced with the situation of having to work with local sales. And the team have done a brilliant job on delivering our operations at a lower cost than even they thought they could at the beginning of 2024, notwithstanding a very high level of activity on well workovers and interventions, which has supported this exit rate of 80,000. And we thought at the beginning of last year and may even have talked about it in one of these video conferences that without drilling that inevitably, we would see a decline in these fractured carbonate reservoirs that we're dealing with here. And so it's really a credit to the team that they have maintained production at these levels. And then if you track the actual reported quarterly production, what you see there is that the -- is actually the sales figure nowadays because, of course, all of our barrels have to be sold into the local market. And so the reason for the lower production in the report in Q4 was the disruption to local sales that occurred around the time of the Kurdistan regional elections back in October. The field potential is there. We just couldn't -- we couldn't get it out into the trucks. So great, great achievement by our asset team. And as we've been reminding everyone all year, whilst ITP remains shut, we've got a very good relationship with our buyers now and well-oiled machine, whereby the money comes into our banking hands before their trucks pick up the oil, and that is working very smoothly. With all of that, we have been able to generate around $10 million a month of free cash flow to DNO, which is substantially better than I would have thought than we were thinking of at the beginning of 2024. So, that is where we are today. And again, I boringly repeat in all these presentations that this reflects the way that DNO reacts to the situation that we put in and focuses on what we can do about it. However, I know that a lot of you are investors and whether in shares or bonds are very keen to understand what we know about whether this export pipeline might reopen and we might return to a position we have in export sales, which we would obviously love. Clearly, in our view, the passing of the budget amendment legislation in the Iraqi parliament last Sunday was an important step forward. Our Chairman has previously referred to the difficulty surrounding with selling exports as a Gordian Knot. And we see this move as the first series of attempt to cut that knot. So we see it most definitely as a positive development. And we also believe this time that there is a seriousness amongst the various parties to try to make this happen. DNO's position remains as it's been. Naturally, we will need to understand -- we will need what we call surety of payment. So, we need to understand how we would get paid for oil if we put it into the pipeline and indeed how they plan to pay for the oil that we previously put into the pipeline and haven't been paid for yet. And that's what we often refer to as surety of payment for past and future exports. We believe that the other parties involved understand our position and whereas the passing of the budget amendment itself was a political process, which is something we're not involved in. When it comes to implementation, clearly, we're going to be involved in that, and we're looking forward to engaging with the various parties to make that happen. And as a long-term investor in the region, we've been through lots of ups and downs. And I think we certainly like to think of ourselves as the voters of the region, and we'll be supportive in trying to put in place the necessary agreements to get exports restarted, which, of course, would be wonderful for us if that could happen. So, that is the way we're looking at the developments on ITP. And I was trying to preempt questions, but I'm sure there will be plenty of questions on that anyway. It seems to be the important topic at the moment. The other part -- the other news that we have to share on Kurdistan relates to Baeshiqa. I touched on this also last quarter. We've been working hard to understand the latest -- the results from the latest testing of the Baeshiqa-3 well. And unfortunately, that was not what we were hoping it would be. And the consequence of that is that we've had to take an impairment of part of the book value from an accounting perspective. From the project -- excuse me, from the project perspective, we are needing to figure out a new way forward. We're engaging with our partner -- our license partner, TEC and the Ministry of Natural Resources in Kurdistan on that. They're both very important parties for us, and we need to work with them on our way forward here. And that is the process that we're involved in at the moment, and we hope to come back with news on that as the months pass or the weeks. Thank you. With that, that concludes the sort of operational review, and I pass to my colleague, Haakon, CFO, to take you through the financials.
Haakon Sandborg: Thank you, Chris and hello everyone. Thanks again for attending this Q4 earnings call. I will do a brief financial review and start with the key full P&L -- full year P&L figures that you can see here for 2024 and compare those to the preceding years. On the left side of the slide, you will see our revenues and the big drop that you see from 2022 to 2023 was obviously due to the shutdown of the export pipeline through Turkey in March of 2023. This resulted in both lower production and lower realized oil prices as we turn to local sales in Kurdistan through 2023. If you look at from 2023 to 2024, we have stable revenues at the level of around $667 million. And that's because we have higher production in both Kurdistan and the North Sea, but this was offset by lower oil and gas prices that we realized. So, with the higher production, but unfortunately, lower prices, we see stable revenues year-on-year in both our main business units. If you look at the split on the revenues last year, they had a distribution of $231 million from Kurdistan and $436 million from the North Sea. It should thereby be noted that the North Sea currently accounts for two-thirds of the group revenues, and that's very good. And we also clearly expect higher Kurdistan revenues again once exports resume through the export pipeline. Now the lower revenues in turn reduced our operating profit in 2023 from 2022. You see a further drop to an operating profit of $6 million in 2024. That was mostly due to higher impairments, but also other items like higher exploration expense last year. On the same basis, the net loss of $27 million that you see last year was primarily due to the impairment charges, but with some offset from lower finance expense and lower tax expense. This was meant as an introduction, a very high-level summary of the financial results over the last years. I'll go into more detail on the next slide. Quite a detailed slide. I will admit that. And I'll comment first briefly on the Q4 numbers to the left here and compare that to the third quarter last year. You see an increase in revenues in Q4 that came from the North Sea, driven mainly by higher gas prices in the quarter. On the cost side, the $16 million increase in cost of goods sold in the Q4 quarter was due to well maintenance costs in Kurdistan and higher DD&A from higher production in the North Sea. You see we have $29 million in expensed exploration that was mainly from expensing of the Falstaff prospect and seismic data purchases. The impairment charge of $104.4 million was mainly from the $89 million impairment taken on the Baeshiqa license in Kurdistan. But in addition, there was also $15 million impairment from increased ARO estimates on the Ula area and from new estimates on other North Sea fields. Taken together, these cost increases and the impairment led to the operating loss of $81.9 million in the fourth quarter. Going further down on the details on the P&L statement. The increase in net finance expense in Q4 came from FX losses compared to net FX gains in Q3. So that's the reason for that movement. And in sum, we thereby show a net loss of $98.4 million in Q4, down from a net profit of $20 million in Q3. I'll now move to the full year figures to the right on this slide. You will again note the stable revenues that I mentioned on an annual basis. And for the cost of goods sold, production costs remained stable through the year, and we have DD&A increasing significantly in both Kurdistan and the North Sea on the higher net production volumes. Exploration expense was also up last year due to high activity and expensing of three dry wells in the North Sea. The impairment charge for the full year of $146 million was driven by the Baeshiqa impairment in Q4. And in addition, we took a $41 million goodwill impairment from the Arran acquisition in Q2 due to a recognition of a significant deferred U.K. tax asset in that quarter. So, with these impairment charges, the operating profit was, as mentioned, reduced to $6.1 million last year. Otherwise, net finance expense was high in 2023 due to a time value adjustment of the KRG arrears. So, for 2024, the net finance is significantly down to a more normal level for the year. We also see a big drop in tax expense last year, and that was due to recognition of the U.K. tax assets from the Arran acquisition and also from changes in deferred tax. So, on this basis, we show a net loss of $27.1 million for the full year. Okay. Moving now to cash flow, show a solid increase in our operational cash flow to a level of $433 million last year, up from $295 million in 2023. We are, of course, pleased with the higher cash flow, but admittedly, it should be noted that there is a substantial contribution from $64 million in positive working capital changes in 2024 compared then to negative working capital change in 2023. As you can see on the slide, we only had a minor Norwegian or Norway tax payment of $1 million last year. But looking ahead and given our substantial activity within exploration and development, we expect a significant NCS tax refunds in Q4 of this year and in the coming years. We stepped up investments last year to $354 million, largely consisting of $287 million in organic asset investments with the $20 million on CapEx and $87 million on exploration expenditures. All of this was invested on the NCS as our main growth area. We also spent $85 million on the Arran and Norne area acquisitions, adding immediately to our North Sea production growth. Further, we see good cash flow, good cash inflow from our license interest in Cote d'Ivoire in West Africa, again, at a good level of $22 million net for DNO last year. You will note a net cash inflow from finance last year that came primarily from the issuance of the $400 million DNO05 bond, that was offset by $181 million in bond repayment of other bonds. And we also had $103 million in dividend payments last year. But all-in, our cash balances increased by $180 million last year to a high level of $899 million at year end. As such, with the high cash balances and net cash of $99 million at the year-end, we are again maintaining a very solid balance sheet and a robust financial strength. The equity ratio decreased to 36% last year was mainly due to the balance sheet effects of the placement of the DNO05 bond and the impairments, but the equity ratio also reflects the dividend payments, the two acquisitions we made last year, and these were offset by redemption of the remaining balance on the DNO03 bond and the partial buyback of the DNO04 bond. So, I'd say we're taking good care of our business and of our capital structure, and we retain our financial flexibility for further M&A transactions, distributions to shareholders and other capital allocation. So I will now hand back to Chris to complete our presentation.
Chris Spencer: Thank you, Haakon. So, having a thorough run through by Haakon around both Q4 and 2024, we start to look a little bit forward. DNO will remain to be characterized by low-cost production, particularly in Kurdistan and the robust balance sheet that Haakon has just taken you through and which includes a positive net cash position. From that position of strength, we are pleased to have an exciting opportunity of the investments to make in our existing portfolio. And we're still on the front foot looking for new additions, and we're hoping that the success in that area that we had last year will be just the start of things to come. And the point I meant to mention earlier is that we are particularly pleased with the Arran acquisition, which combined with our existing portfolio means that we are at about 50% gas in our North Sea portfolio at the moment. And for anyone who's following gas relative to oil pricing at the moment, that's a very nice mix to have with gas at something around the $90 per barrel of oil equivalent this week. So, we're ramping up spend into our own portfolio as the chart shows on the right. Again, that's North Sea is taking the lion's share of that increase, if not all of it. And as long as we're in this local sales world, maintaining this strict capital spending discipline in Kurdistan to ensure that cash flow that we achieved last year. With all of that, we are, again, maintaining our dividend distribution. Once again, we see that as a sustainable dividend program within the framework of local sales. Therefore, if we're able to reestablish exports and get reliable payments running, then the company is going to be in a great position to move forward. We also never forget our bondholders. We're very proud of our 20 years. We're very grateful for the support the bondholders have given us over those 20 years. And it's been a mutually supportive relationship since we've never let them down. And that's a reputation that we felt was very important in the market last year when we were out for DNO05 and something we value within the company. So, summing it up, we are Norway's oldest fuel and gas company. And nevertheless, we proudly retain what we believe is a bold character and nimble Viking DNA, which allows us to react to whatever is thrown at us. And I think you'll see that in terms of our exploration performance in the North Sea and the way we react to whether it's local sales or exports in Kurdistan. So I'm looking forward to 2025. And with that, we will close this session and pass back to Jostein to facilitate the Q&A.
A - Jostein Lovas: Thank you, Chris and Haakon for the presentation. Yes. At this stage, I think we're ready to start the Q&A session, and we have a lot of people raising their hands already. So, I think Christoffer Bachke should be allowed to ask the first question.
Christoffer Bachke: Hi guys. Christoffer from Clarksons here. Thanks for taking my questions. So, first, I couldn't really see any clear comments on the progress in Kurdistan in today's report. Is there any reason why you choose not to comment on it now given that the budget amendment in Iraq has been passed? And could you please also provide some color on how you assess the path moving forward regarding a pipeline reopening, both in terms of payment security, outstanding receivables and so on? And secondly, if a pipeline reopening were to occur, how quickly can you ramp up production to normalized pre-shutdown volumes? And also what level of CapEx would this require? The last question is more strategically around the current cash position and the outlook. What opportunities do you currently see in the North Sea? And how do you plan to utilize that cash position? Thanks.
Chris Spencer: I think the first one is for me, Haakon. So, on progress by progress in Kurdistan, I assume you mean the talk of reopening of the ITP export route, Christoffer?
Christoffer Bachke: Absolutely.
Chris Spencer: Well, I can only repeat the comments I made during the presentation. I think why we don't write about it, I can touch on first, and that's as we always said, that we aren't involved in politics, and we are careful not to speculate on what's going on there. Nevertheless, the vote, as I mentioned during the course of my presentation, the vote, we see the vote in the Iraqi parliament as a significant step to cutting the Gordian Knot related to ITP exports. And the process now moves to a point of how does one implement that what is now budget law. And there's been press around that in the last few days. DNO's position remains that we will naturally require to understand how we're going to be paid if we put oil into the pipeline. No one has explained that to us yet. The other key point that we've consistently made is we also need to understand how we'll be paid for the oil that we put into the pipeline before it closed and have not yet been paid for, which represents some several hundred million, I think around $300 million worth to the company, pretty significant, I think you'll agree. We think these are common sense, not controversial at all. These must be to anyone, common sense requirements before we put oil into the pipe. And we do believe that the -- as these other stakeholders involved understand the position of DNO and indeed other IOCs. And we think that with the effort that's gone into getting this through parliament, that they're serious about trying to make this work this time. So, we're looking forward to the implementation phase. We're a long-term partner with the region, with the country. We have 750-odd Iraqi citizens working for us. So, we are here to play a constructive role and nothing will be better for us to get a reliable system of exports through ITP with SOMO as the seller. So, when it comes to the question of how quickly, then this is not a technical question. This remains, I think, a contractual commercial question of the discussions I've just been alluding to. That is what will set the time frame of how quickly we can reestablish exports. So, I think that covers the points on ITP. On use of cash, I think, as always, we've got -- and it's probably unfair to do that to Haakon, but I've got on my side, I wanted to use the money, and he's trying to protect the balance sheet on his side. So on the growth of the company, yes, we remain very active on the M&A market with the prime focus in the North Sea and trying to add on to the acquisitions we made last year. We are very, very active. And I guess everyone knows the old adage that for every 10 processes you participate in, you might succeed on one. And we've been trying for a few years, and we got two last year, and we are trying to replicate that at least. We also look at bigger deals than that with this balance sheet strength with the RBL in place in our North Sea, which if one were able to get another larger package of assets, we're pretty sure we could increase the borrowing base there. So, we believe we have good firepower, as they say, in the North Sea. And so we're working hard on multiple fronts there. Secondly, of course, we got lots of attractive opportunities in the exploration development area in our North Sea portfolio. And finally, we are balancing the creation of value in our portfolio with the distribution of value to our shareholders, and the dividend program remains a priority for the Board. Underpinning all of that is our strong balance sheet, and that's another area where we do use our cash resources from time-to-time. Haakon, do you want to make any comments on that?
Haakon Sandborg: The question is how are you going to use your cash deposits? Well, that's a good question. But of course, what's the reason why you have them in the first place. And it served us well over many years to have a strong and conservative balance sheet because they have specific risk like something happens in Kurdistan and you have to have the strength to withstand those fluctuations. It's good to have a really strong balance sheet and to be able to rely on that. But also in the industry that we are in with commodity price ups and downs, that's also a reason for maintaining a very solid financial position. So, we will continue doing that. It's also served us well when we go back to the bond market and talk to our investors that they see that we have followed up on being conservative that we don't go crazy and spend all the money on various transactions that may or may not make sense. So, we are taking this in a sort of a step-by-step approach and looking and taking our time to evaluate opportunities. So, there are many reasons why we have had this strategy, and I think it has served the company well over many years.
Jostein Lovas: And the next one in line is Lara [Indiscernible]. I think you have to unmute yourself and perhaps also introduce yourself. Please go ahead. If not, then I think we will have to move on to Øyvind Hagen.
Øyvind Hagen: Hi guys. It's Øyvind from Arctic here. Just to confirm your comment earlier, you have not seen any proposal on how you will actually get paid? Or has there been proposals put forward that has not been acceptable? Just some more details on that regarding exports, of course, out of Kurdistan and the budget amendment.
Chris Spencer: Sure. Thank you. Well, as you know, the budget amendment only passed on Sunday and as far as we understand it, there was a lot of attention and work required by all the stakeholders to get through that particular vote. So, we are now, as I mentioned, anticipating the implementation phase, and we will play a constructive role in that. Part of being constructive in my mind is not to comment on the details of any discussions that might or might not be ongoing until there's something to report on. Again, we're not politicians. We are just business people, and we respect the confidence of any discussions that we have.
Øyvind Hagen: Very good. Thank you.
Jostein Lovas: Okay. The next one is Nikolas Stefanou. Please go ahead.
Nikolas Stefanou: Hi guys, Nick here. Thank you for taking my questions. You made a comment earlier about how resilient [Technical Difficulty] low there. I was wondering--
Jostein Lovas: I think we lost your -- part of your question.
Nikolas Stefanou: Hi guys. Can you hear me?
Jostein Lovas: We lost part of your question. Can you repeat it from the beginning?
Nikolas Stefanou: Sure. Can you tell me what kind of production levels you expect in Kurdistan this year considering the low activity levels? And then if you could offer a figure for free cash flow estimate for 2025. That'd be helpful. Thank you.
Chris Spencer: Resilience. Yes, well, we've reported on the resilience of the production that we have shown and the interaction with sales. And we are not guiding for the full year 2025. We are obviously continuing to work very hard on our own field and maintaining that production potential. We see some uncertainties around the level of sales we can maintain depending how things develop from here. And that's why we haven't provided specific guidance this year. Given we haven't guided on production, and it's not really appropriate to guide on free cash flow, but -- and that's why we've sort of pointed to what we've done rather than making promises for the future.
Haakon Sandborg: I could add on Kurdistan, actually you can find there, Nikolas, that you could make up your sort of own estimates of what we had for last year in Kurdistan. We have had the segment revenue for Kurdistan of $231 million reported, lifting costs to $83 million and CapEx of $47 million in the segment report. And all these figures are mostly cash and the total here is -- on the net basis is just over $100 million. That also includes about $20 million, $25 million for the Baeshiqa-three well in the other license. So, on the Tawke license itself from last year, you could sort of make a calculation that you would run somewhat above $10 million per month of free cash flow last year. So, I won't guide you on this year, but if we could see a good production continuing and maybe also access to export markets, that could again, significantly improve from the level last year when they only had the local sales. That's just one guiding point for you to look at.
Jostein Lovas: I think the last question will come from Tom Erik Kristiansen. I know there seems to be a press question here as well, but we'll deal with that afterwards. So, Tom Erik, please go ahead.
Tom Erik Kristiansen: Thank you. Tom Erik from Pareto here. One question, where do you expect to kind of draw the line when they approach you with exports -- potential export solutions? Is it to get full contractual payments and also have something in place to recover for past exports? Or would it be kind of to compare it against starting with something better than the revenues you now have from local sales and mechanisms to kind of get to full contractual payments? Would that last part be kind of sufficient? Or because it does seem to me like DNO is a bit harder now and basically the mechanisms needed to be in place is full contractual payments? Or will you consider kind of a roadmap to get there, before putting oil into the pipeline compared to just collecting the local revenues you do now? Thank you.
Chris Spencer: Yes. Thanks, Tom. Its -- I mean, I will repeat that we are ready to play a constructive role in discussions to get exports working again. We've set out a consistent position that you, I think, understand well. And from your question, repeated it back to us. And we believe that's well understood by the parties. So, we will go into those discussions in a constructive manner. And in terms of negotiating position, I'm not going to get into the details of that on a call such as this. But we know what we're going into, and we will play a constructive role.
Tom Erik Kristiansen: Okay. Thank you. Just one follow-up on the outstanding amounts of past exports. Is that solely, I call it, companies and KRG government issue? Or is Baghdad at any point kind of signal that they didn't play a part in a solution for that? Or is that basically something KRG will have to solve with the companies due to the historical kind of revenues they have gotten from it?
Chris Spencer: Well, our contractual relationship is with the Kurdistan Regional Government. And so again, from the business point of view, that is where the responsibility lays for those debts. Again, when it comes back to how Kurdistan region and the federal government arranged the financing in Iraq, that's up until then. But we have a contract which we believe is internationally recognized under international law, and we expect that to be honored.
Tom Erik Kristiansen: Okay. Thank you.
Jostein Lovas: Okay, then. Since we are fast approaching the one-hour mark, I think it's time to wrap up this earnings call, and thanks to everyone for participating. See you again next quarter.
Chris Spencer: Thank you.